Operator: It is now time to start the Full Year Earnings Presentation of Mercari for FY 2022 that ended in June. In order to prevent the spread of COVID-19, we would only be offering live streaming this time. First, Shintaro Yamada, Representative Director and Chief Executive Officer, will share the medium to long-term objectives. After that, Sayaka Eda, Vice President of Corporate and Chief Financial Officer, will walk you through the fiscal year 2022 financial results, its summary and business objectives for FY 2023. I’d like to now pass the mic over to CEO, Yamada.
Shintaro Yamada: Thank you for joining us for Mercari’s full year earnings presentation for FY ‘22 today. I am Shintaro Yamada, Representative Director and CEO of Mercari. Here is the content for today. First, I will give you the summary of last year’s results. More details will be shared by Eda later. In the last year’s full year earnings briefing, I explained that this year, we would continue to grow the three pillars of our business while creating more opportunities for the group to grow and use the planet’s limited resources carefully and aim to build a world where anyone can create value through our business activities that positively impact the environment and the world and promote climate change mitigation and D&I as critical areas of focus. And the results are summarized in three axes. First, we had a steady growth of the three pillars: Mercari JP Merpay and Mercari US. Mercari JP’s MAU reached 20 million and the U.S. MAU is increasing steadily. For Merpay, thanks to the growth of the credit business, which we started to really focus on from FY ‘21, we could establish a profit base that could generate unadjusted operating profit on a regular basis. Secondly, we seeded medium to long-term growth. We have made steady progress towards future growth by launching a B2C marketplace for small businesses, Mercari Shops and acquiring a cryptocurrency exchange license, which is necessary for developing crypto asset-related businesses. Thirdly, we are building a global standard organization in order to achieve the global growth set as our mission, enhancing the organization and promoting ESG are indispensable, and we have been actively engaging in these initiatives. Also, since the IPO in June of 2018, we have received tremendous support from the shareholders as well as other stakeholders, and we managed to move to ToSho Prime section on June 7, so I’d like to extend my appreciation for your support once again. Next, here is the Mercari Group medium to long-term objectives. Mercari’s mission is to create value in a global marketplace where anyone can buy and sell. When founding the company, I have thought that maybe by connecting individuals with the power of Internet, we could conserve limited resources and help people around the world live a fuller life. I still hold this belief. And after launching Mercari JP in 2013, we continue to create new businesses such as Mercari US, Merpay, Souzoh and Mercoin, and the group has been striving to realize this mission. The image of the world when we accomplish this mission that I shared with you in last year’s full year earnings briefing and the future Mercari envisions remain unchanged even after 1 year. This is the world where Mercari customers would not only be in Japan and the U.S. but also around the world, where cross-border transactions will be commonplace for individuals and businesses, where various credit information of Mercari customers will be accumulated and this data will be leveraged for seamless and speedy transactions. Listers may, for example, receive proceeds even before confirming the completion of the transaction or buyers, if they commit to listing the products they purchased in the future, they will be able to buy the products at discounted prices. Regarding delivery, we could use renewable energy like solar and wind to operate robots and drones for more sustainability with less carbon footprint as much as possible. When a time like that comes, the transactions may not be limited to physical tangible items but extend to skills and digital assets. For example, blockchain could be used to protect the rights of the owners and the owners maybe able to, in turn, for example, their songs into NFTs and buy and sell them on Mercari. By achieving our mission, we want to create a world where anyone can be themselves and lead a creative life. There is a phrase planetary boundaries. This is a concept that expresses thresholds within which humanity can survive safely. Infusing our stance of wanting to become a company that has a positive impact on the environment through the growth of our business, we started to use planet positive from the previous term as a terminology or concept. Mercari is a service that lets one pass on what could still be used to someone else and reduce CO2 that would otherwise have been used to manufacture a new product to lessen the environmental impact. The more people use the service, though it could be gradual, the more behavioral changes this would bring, and we can be more sustainable, creating a positive impact on the environment. Not only do we want to focus on physical items, but we also aim to build an ecosystem that seamlessly circulates all forms of value so that we can become essential to creating a circular economy and then go one step further to realize a planet positive world where we share Earth’s limited resources across generations, so all people can continue to create new value. And this is the visualization of the positive impact we’ve been generating. Calculations based on the clothing category, which has the highest transaction volume in our business show that users in Japan and the U.S. avoided approximately 480,000 tons of carbon dioxide emissions per year by trading on Mercari. This is equivalent to the volume of 200 Tokyo domes. And the CO2 emissions avoided in the last 3 years totaled approximately 1.4 million tons. We believe that we are steadily contributing to the realization of a planet positive circular economy while achieving business growth. These are the two mid-term milestones we have set to achieve our mission. These milestones remain essentially unchanged from those announced in last year’s full year financial results briefing. First is to work with external partners to create a circular economy ecosystem. Until now, Mercari has been expanding its business as a secondary distribution marketplace where goods and money circulate. And last year, with the launch of Mercari Shops, businesses can now have their own stores within Mercari. In addition, through our financial services, we’re engaged in promoting circular finance in which money and credit circulate. These circulations have been realized not only by Mercari, but also by working with various partners, and we believe that more collaboration with external partners is essential to expand these circulations in the future. For example, we are working with manufacturers and retailers to create a sustainable consumption and production cycles by connecting primary and secondary distributions and facilitating the flow of goods, money and data. We can expand the possibilities by partnering with various external companies and people to distribute attractive content that was undiscovered before as NFT. With various external partners, we would like to create a world that uses technology to seamlessly circulate all forms of value unlimited to physical items. The second is global expansion. While continuing to place the highest priority on further strengthening the U.S. operations, we will also do research outside of the U.S. market and be ready to take on new challenges when opportunities come our way. There has not been any decision about the third market at this point. However, in preparation for the future opportunities, we will continue our efforts to build a borderless organization in which talents from all over the world can play an active role and also strengthen our technological base. It goes without saying, to build a borderless organization and D&I should be embedded as a source of innovation, so we will drive this further. Also in late June, we established a new technology development center in India. We will continue to strengthen our technical and human resources and infrastructure, which are the sources of not only global expansion, but also the competitiveness of our entire group. In January, we made further changes to our management structure to bolster the business foundation of the Mercari Group. This time, individual companies within Japan region will be grouped into marketplace and fintech to allow for more business collaborations for synergy, efficiency and productivity. Until now, Mercari Japan mainly served as their profit generator to support the Mercari Group. But going forward, we’d like to strengthen the earnings of marketplace, fintech and the U.S. for a stronger and leaner business space. Next is the summary of the medium-term – medium to long-term objectives and future major investment areas for – of the Mercari Group. As with the mid- to long-term milestones, there are no significant changes from last year. What’s common for the entire Mercari Group is that we will actively invest in creating an environment where talented engineers can showcase their performance in strengthening our technological base. High technological capabilities are indispensable to our business and competitiveness, and we believe that investment in this area is what will support the future growth of Mercari. Also, we will continue to promote advanced security environment, which has always been our focal area. But in addition, the group as a whole will work to strengthen collaboration with various partner companies as well. As for our medium-term objectives on how we want to be 3 years from now, in terms of marketplace, we’d like to be leading the circular economy. Regarding fintech, we would like to promote circular finance to build a new financial culture through financial services that levers the group synergy. In the U.S., we’d like to establish recognition and reputation as the easiest and safest selling app. So these are our medium-term objectives. Mercari has continued to grow through advanced product development and bold investments. In the 4 years since our IPO in 2018, we have nearly quadrupled our sales and doubled our user base. We will continue to innovate in current and new areas, creating growth opportunities for the group through disciplined and bold investments to achieve significant future growth. That’s all for me, and I’d like to hand it over to Eda.
Sayaka Eda: Hello. I’m Eda, CEO – CFO of Mercari. I’d like to share the overview and how we look back at the financial results of FY ‘22 that ended in June, and I’ll also explain our business objectives for FY ‘23. Okay. Here are the highlights of FY ‘22. First, regarding the consolidated performance, we achieved steady growth in the three pillars of – three pillars this year again, including establishing a revenue base for Merpay. On the other hand, due to changes in the external environment, the impact of anti-fraud measures and updates to our investment policy, our GMV growth rate slowed down for both Japan and the U.S. Yet, we achieved an operating profit in the fourth quarter by clarifying our priorities, making carefully selected investments and reducing costs. Also we worked a SOCs for the group to excel, and we created future growth opportunities this year. I’d like to talk about each business. Let’s go to Mercari JP first. In the 9 years since its launch in 2013, Mercari JP has grown to have an overwhelming user base of 20 million MAUs in the C2C market. In FY ‘22, on top of the marketing initiatives, we realized better UI and UX through product improvements for medium- to long-term growth by implementing personalization and web measures. Souzoh fully rolled out Mercari Shops in October 2021 and achieved vertical start-up with active marketing measures. As a result, the number of shops open surpassed 200,000, driven by steady progress since Q3 and disciplined marketing to acquire new shops while focusing on product improvement. In terms of Merpay, both the payment and credit businesses grew steadily, achieving continuous top line growth. In addition, thanks to the development of credit, our focus area, we established a profit base and accomplished a full year unadjusted operating profit for the first time. As for Mercoin, this is an area that requires high expertise. We made steady progress in hiring specialized talent, solidifying our organization foundation in the field of NFT. To popularize NFT in the future, we released Pacific League Exciting Moments Beta, which sells digital content. We also managed to acquire the license as a cryptocurrency exchange in the crypto asset area. On June 17, we successfully completed the registration. Regarding Mercari US, MAU grew because of successful marketing efforts to increase brand awareness. Still, the full year GMV growth rate had high hurdles from FY ‘21 and changes in the external environment, such as inflation. Therefore, the full year GMV growth rate was minus 2%. But also – but we also steadily promoted ease-of-use features and personalization for the medium-term to solidify our footfall for sustainable growth. Lastly but not least, regarding Kashima Antlers, under the management’s vision, VISION KA41, we formulated a management plan that does not rely solely on the soccer business. Furthermore, we implemented various initiatives to assess relaxation of the capacity limits, ensuring to normalize the business so that we can bring back the soccer business to the pre-COVID level. Next is the full year KPI summary for Mercari JP, Merpay and Mercari US. Our consolidated net sales went up by 39% year-on-year, landing at ¥147 billion. The sales growth rate, excluding the impact of changes to accounting policies on sales, was 18%. Our consolidated operating loss was ¥3.7 billion. Mercari JP grew – Mercari JP GMV grew by 12% year-on-year, with an adjusted operating margin of 27%, down by 6 points. Merpay’s number of users was 13.45 million with an identity verification rate of 86.2%. Mercari users GMV was minus 2% year-on-year, with an MAU of 4.9 million, up 6% year-on-year. Here are the consolidated net sales and operating income. We conducted carefully-selected investments that prioritize the contribution to the medium to long-term growth, and we also worked on cost reductions, and we achieved operating profit in Q4. The number of employees on a consolidated basis was 2,209 as of the end of FY ‘22. At the time of the third quarter results announcement, we had projected the head count at the end of FY ‘22 will be around 2,150. The relaxation of COVID-19 border measures in June allowed for early arrival and start of work of provisional hires living overseas, resulting in an increase in employees compared to our assumption. In FY ‘23, we will continue to focus on recruiting mainly engineers. But overall, we expect a moderate increase compared to FY ‘22. And we have been sharing with you about the impact of the frauds, and this is the summary of that. As the entire industry is experiencing an increase in fraudulent transactions, we were significantly affected by these transactions in the third and the fourth quarter of FY ‘22, so we decided to implement anti-fraud measures sequentially. And as a result, we expect the impact of fraudulent transactions to gradually decrease from FY ‘23 and normalize in the second half. There were many fraudulent users of credit cards for Mercari JP and phishing for Merpay towards the end of the fiscal year, but we managed to implement effective anti-fraud measures. In addition to completing the implementation of EMV-3D Secure for iOS and Android, we set up a dedicated antifraud department to respond quickly and comprehensively to new fraud incidents. Also to reduce fraudulent uses in the entire EC industry, we shared Mercari’s experience of adopting EMV-3D Secure with the Online marketplace council and EC Business Council, and we also exchanged opinions to help prevent phishing with payments Japan. Mercari continues to recognize creation of a safe and secure usage environment as our top priority, and the entire company will strive together to achieve this goal. Next, this is Mercari Japan’s quarterly GMV and MAU changes. So these are the performances of each business, starting from Mercari Japan. Although the GMV growth rate decelerated due to a slowdown in sales and purchase frequency caused by less time spent at home because of reopening, implementation of fraud countermeasures, an update to mid to long-term growth investment policy. And if you look at the quarterly changes, you can see that there is an increase in net sales. Although there was a slowdown in GMV growth rate because of the sales and purchase frequency declines where we engaged in several marketing initiatives, and as a result, the GMV growth rate turned out to be ¥881.6 billion, up by 12% year-on-year, and the adjusted operating margin landed at 27%, almost in line with the forecast at the time of 3Q results announcement. And here are the early performances. You see a drop in adjusted operating income and margin on a year-on-year basis, which is significantly impacted by the fraudulent uses. And this is the cost structure of Mercari Japan. We incurred for an aggressive investment in acquiring new users in the first half. But as I have mentioned, we implemented a carefully selected investment, and you can see that the profitability is improving. We did have the impact of fraudulent uses. Costs increased by 6.5%, but the fourth quarter adjusted OPM landed at 30%, showing improvements in profitability. Next is Souzoh. In October 2021, we launched a full rollout of the B2C marketplace, Mercari Shops. We conducted aggressive marketing initiatives by running a TV commercial, targeting businesses to increase awareness in carrying out no selling fees campaigns, and we achieved a successful launch. And in the third and the fourth quarter, we focused on product updates, and we also carried out disciplined marketing initiatives to acquire new shops. And as a result, Mercari Shops now has more than 200,000 shops on the platform. Also 55% of all respondents to a survey of Mercari shop owners conducted in July 2022 said it was their first EC store, indicating our steady progress toward the goal of providing a place where anyone can easily sell online. As mentioned before, one of the reasons behind the release of Mercari Shops was our passion for supporting producers, small businesses and other businesses nationwide affected by COVID-19 to help expand their sales channels through establishing this EC site. For this purpose, we allow the sales of perishables such as raw meat and seafood that are partially restricted on our C2C platform, Mercari, because of safety reasons. In addition, we supported the food category businesses by offering better shipping options, such as refrigerated Mercari shipping and campaigns. We also promoted store openings in Mercari Shops by concluding agreements with plural local governments and implementing regional revitalization programs. As a result, the number of transactions in the food category within Mercari Shops is now the largest, indicating that we have matched demand as we hoped we would and contributed to revitalizing local economies. In addition, approximately 60% of shipped items are from outside of major cities. Next is Merpay. We achieved top line and profit base growth through strengthening the payment and credit businesses this year, solidifying our business foundation successfully. In particular, fixed amount payments showed strong performance. And as a result, we achieved a full year unadjusted operating profit for the first time, establishing a profit phase – a profit base that can generate unadjusted operating profit on a regular basis with the services we currently offer, and we carry out proper credit control, leveraging our unique AI credit system. Also the percentage of users who have completed identity verification exceeded 86%, helping us construct an environment that is convenient, safe and secure. This is Merpay’s net sales and adjusted operating income. Payment and credit grew steadily, resulting in 39.8% year-on-year growth for the total net sales. We achieved positive unadjusted OP. And for the first time, we have been able to get rid of the loss. And here is the quarterly result. In conjunction with the net sales growth, unadjusted operating income improved, which worked to strengthen our revenue base. And the number of identity verified users is now 86%, as I mentioned. Next Mercoin, we spent FY ‘22 preparing in both the NFT and cryptoasset areas for the planned launch of services in FY ‘23. In terms of the organization, hiring professionals specializing cryptoassets and NFTs progressed steadily. These are areas that really require expertise, and we brought the organization size to about 100 people. We made solid progress in hiring for key positions, building a strong organization for the full-scale launch of the services. And as for the NFT area, we launched a digital content, Pacific League Exciting Moments β looking ahead to the future popularization of NFTs. We also completed the registration process to obtain cryptocurrency exchange license, making steady progress in preparation for the full rollout. Let’s go to Mercari US, and here is the changes in the fourth quarter. Mercari US MAU declined Q-on-Q, mainly due to the seasonal slowdown, but continued to grow year-on-year, thanks to the steady accumulation of new users. You can see that from the chart. And our year-on-year GMV growth was minus 12%, and that is the case for net sales as well. But we have been able to make a significant improvement in the profit. Thanks to the fact that we implemented measures on selective investment based on updated investment policy. Despite the strong headwind of the external environment this year, including reopening and inflation, we worked harder than ever toward our medium-term goals to improve the brand recognition of Mercari US through branding efforts such as collaboration with animation film and product improvements on listing and personalization. While recognition and MAUs grew steadily, the GMV growth rate declined due to the high hurdles set by the significant 72% year-on-year GMV growth from last year caused by the stimulus checks issued by the U.S. government. We also prioritized mid to long-term growth investment in the second half, and there was a slowdown in purchases caused by inflation. For floor reasons, we had a slowdown, but our GMV growth landed at minus 2%, which is largely in line with our forecast shared in the third quarter announcement. And here are the early GMV/MAU net sales and adjusted operating income changes. Lastly, I would like to look back at our ESG efforts. We aim to use the planet’s limited resources carefully and build a world where anyone can create value through business activities that positively impact the environment and society. As a step toward reaching our mid-term decarbonization targets, we achieved Scope 1 and 2, our target for this fiscal year, by using renewable energy for 100% of our office electricity. In addition, we introduced a new work style policy called Mercari’s New Normal Work Style, Your Choice and executed various action plans to mitigate climate change and D&I-related issues Regarding governance, we established an ESG committee to advise the company’s Senior Executive Committee, which makes business and corporate decisions. We will continue to hold ESG committee sessions four times a year to implement these initiatives swiftly and monitor their progress for each materiality. For more information on Mercari’s ESG activities, please refer to 2022 sustainability report, which we plan to release tomorrow. Next, I would like to share our business objectives for FY ‘23. To further strengthen the business foundation of Mercari Group, we made changes to management structure in January this year. Furthermore, we will promote synergy and efficiency by grouping individual companies in the Japan region into marketplace and fintech to strengthen collaboration across businesses. For the FY ‘23 part, marketplace and fintech will be shown as sub-segments in this financial results presentation. From hereafter, we will explain and disclose financial results by sub-segment instead of by individual company. By the way, the company-wide expenses previously included in Mercari JP will be excluded from the marketplace and recorded as elimination/corporate. Concerning our business objectives for FY ‘23, we will build a lean global business – lean and global business foundation and implement management that balances growth and profitability. We will also achieve further growth through synergy created by a stronger collaboration between marketplace and fintech, which I will talk about in a minute. For Japan business, we will combine marketplace and fintech to promote more efficiency – a more efficient and effective product UI and UX and marketing. On top of that, we will work to create an ecosystem that circulates not only physical things and money, but credit NFTs, cryptoassets and other forms of value. Concerning FY ‘23 business objectives of marketplace, through enhancement of collaboration between the C2C and B2C businesses, we aim to increase the number of listings and implement the balance between top line growth and profitability. We aim to achieve full year GMV year-on-year growth of 10% to 15% and unadjusted operating margin of 30% to 35%. With regard to the business objectives of B2C shops, we would like to further strengthen the connection between C2C and B2C to offer an easy-to-sell experience. We will also add features and conduct campaigns to enable shop owners to increase the number of fans on their own and build a product infrastructure that supports the expansion of their monthly sales. Concerning fintech, we will promote a circular financial ecosystem as a step towards building a new financial culture with financial services utilizing the group synergies in the medium-term. For FY ‘23, we will focus on promoting circular finance by strengthening group synergy. For Merpay, we will provide financial services that leverage group synergy, further enhance synergy between paying, buying and selling to increase opportunities for Merpay usage and continue strengthening their profit base by expanding the credit business. For Mercoin, we will utilize the cryptoasset exchange license, which we completed the registering of in June to provide highly convenient services unique to Mercari that use cryptoassets and also develop and provide services that leverage blockchain technologies. In terms of strengthening synergy between paying, buying and selling, as a matter of fact, we – this is a behavior that we oftentimes see among our loyal users. We would like to implement new measures to promote the behavioral cycle of using Merpay when buying things to sell on Mercari, selling on Mercari things by using Merpay and using Merpay when buying on Mercari to more users. This will work to build the data set we can use for credit when there are more Merpay usages within Mercari. We will enhance the quality of our proprietary AI credit system by utilizing this data, and this will build credit for more people, which will lead to the circular finance that we aim to create. Next, this is the objectives for Mercari US. Concerning Mercari US, our medium-term objective is to establish name recognition and reputation as the easiest and safest selling app and play an essential role in realizing a circular economy in the U.S. as well. In FY ‘23, we will focus mainly on refining our product to promote both listings and purchases to differentiate ourselves technologically to be the top of mind C2C service. In addition to encourage purchases while users’ purchasing power is declining because of inflation, we will consider strengthening BNPL and incentivize the users to buy more. We currently expect full year GMV to be zero to 10% year-on-year, but we will closely monitor the situation given the highly uncertain external environment in the U.S. For further growth, the company is also working to unearth new categories with high potential demand. And we added large furniture to Mercari Local’s category on June 16th. Large furniture is high in price, but quite tedious to move. By simplifying C2C transactions of large furniture, which has been difficult because of how unit price and shipping costs and large size and weight, we would like to capture the latent demand which we estimate to be approximately $6.5 billion and use it as a future growth driver. Let’s look at Kashima Antlers. We will strengthen admission fees and advertising revenue streams in light of improvements in the business environment, such as the easing of capacity restrictions. And also, we will use the stadium effectively and run a soccer school to enhance our non-soccer business. For India Center of Excellence, we will leverage the Bengaluru office to promote product development for both Japan and the U.S. In FY ‘23, we will work to set up a borderless organization by hiring around 50 to 60 people who would mainly be software engineers. Lastly, this is the FY ‘23 business objective summary. We achieved operating profit in the fourth quarter of FY ‘22 by implementing disciplined investment with clear priorities. When thinking of the current market environment, our stance remains unchanged about how we need to be conscious of profitability. Therefore, for FY ‘23, we will make the effort to balance growth and profit in our management, while building a lean business foundation. We believe we still have a long way to go to achieve our mission of creating value in a global marketplace where anyone can buy and sell. Therefore, we will continue to make effort to drive growth for each business domain, especially in the area of synergy creation in the Japan region. In addition, we will continue to strengthen our technological foundation and promote ESG to build a global standard organization. That brings me to the end of my FY ‘22 fourth quarter financial results presentation. Thank you for your attention.